Operator: Good day, ladies and Gentlemen, and welcome to the First Quarter 2011 InfoSpace Inc.'s Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] And as a reminder, today's conference is being recorded for replay purposes. I would now like to turn the call over to your host, Ms. Stacy Ybarra, Senior Director of Corporate Communication. Please proceed.
Stacy Ybarra: Good afternoon, and welcome to InfoSpace's First Quarter 2011 Earnings Conference Call. I'm Stacy Ybarra, Senior Director of Investor Relations. On the call today are Bill Ruckelshaus, President and Chief Executive Officer; and David Binder, Chief Financial Officer. During the course of this call, InfoSpace representatives will make forward-looking statements including, but not limited to, statements regarding InfoSpace's expectations about its products and services, outlook for future of our business and growth initiatives, acquisition strategy and anticipated financial performance for the second quarter of 2011. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions are also forward-looking statements for purposes of the Safe Harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in InfoSpace's most recent quarterly report on Form 10-Q on file with the Securities and Exchange Commission. InfoSpace assumes no obligation to update any forward-looking statements, which speak only as of the date the statement was made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our website and filed with the SEC on Form 8-K, we present GAAP and non-GAAP results, along with reconciliation tables and the reasons for our presentation of the non-GAAP information. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, David will review the first quarter results and second quarter outlook. Then we'll open it up to your questions. Bill?
William Ruckelshaus: Thank you, Stacy, and good afternoon. InfoSpace had a solid first quarter. Revenue was $61.6 million and adjusted EBITDA was strong at $7.2 million, above expectations and up 14% from the prior year. Our performance this quarter reflects our increased focus on optimizing our products and technology in our core Search and E-Commerce businesses. Before David gets into the detail on the financials, I'll give you a quick update on the progress on some of these fronts. On the Search side, our differentiation centers on our unique ability to blend results for multiple search marketplaces, enhancing consumer results and delivering superior monetization to our sites and our partner sites. In the first quarter, we invested in improving this capability through further optimization of the search page layouts, to leverage our nonpaid and paid content mix based on user intent. The goal is to further enhance relevancy with the added benefit of lower content cost and increasing the paid click-through rate. While this initiative is still in its early stage, initial results are very promising, and we will continue to focus on this effort moving forward. We also made progress improving the user experience on our site and using our meta [metasearch] technology to integrate new vertical content. This initiative aims to improve the depth and breadth of our content by augmenting what we get from the major search engines. For example, in the first quarter, we launched a mortgage comparison tool on Dogpile. When users type in a query related to mortgages, the first link on the results page is a Dogpile-branded tool that aggregates the mortgage vendors and helps users find the best mortgage rates available. We plan to extend this concept and we'll continue to launch new vertical content that monetizes well, and importantly, adds value for our users. Another initiative that we are working on in Search is developing capabilities to extend our products to the mobile environment. We recently launched mobile versions of a selected set of our consumer properties. While the volumes here are still relatively small, this initiative is important for us strategically and we will continue to rollout mobile versions of our full portfolio of products. Our distribution network and search continues to perform very well. We're continuing the momentum we began to see in the back half of 2010, as we posted a second straight quarter of sequential growth. We continue to believe in the market opportunity and upside potential, as demonstrated by the 11 new partners we signed in the first quarter. Our value proposition here is very strong. And with the recent extensions of our contracts with Google and Yahoo!, we can continue to leverage our unique position in the marketplace. Additionally, as a meta provider, we have expertise that can extend across our entire network that enables us to provide our distribution partners with valuable information and recommendations for site optimization based on their specific needs. Now turning to our E-Commerce business. We continue to evaluate the progression of the E-Commerce model and are committed to near-term profitability. In the first quarter, we focused on several initiatives, including launching a new front-end platform, optimizing markets and vendors through improved business intelligence capability and adding enhanced features and functionality to our online stores. It is our hope that these efforts will improve the customer experience and help accelerate the path to profitability by the end of the year. And finally, turning to my thoughts on capital allocation. Our cash position, coupled with our significant tax asset, strongly biases us to invest to acquire attractive, profitable companies at reasonable prices. More than any other use of our capital, we believe that this strategy, if properly executed, can generate superior returns for our shareholders. In the months since I joined the management team, we have been working diligently to identify opportunities for allocating our capital, and there are many interesting options that we are currently evaluating. While it is difficult to predict these things with any certainty, it is my expectation that we will deploy a meaningful amount of our capital to acquire attractive high-yielding businesses at sensible valuations by this time next year. We have a tremendous opportunity and we take our responsibility in this area very seriously. So in summary, it's been an eventful quarter here at InfoSpace, and we -- while we still have a lot of work ahead, I am pleased with the progress we've made so far operationally, increasing revenue and generating good cash flow. As we continue to execute on our plan, we believe our assets will continue to grow in value. And I believe, personally, that there's much more opportunity ahead. With that, I'll turn it over to David for more details on the financials.
David Binder: Thanks, Bill, and good afternoon. I'll start today with a review of our financial results in the quarter for the entire business, and then give greater details of the performance for each of the segments. I'll end my comments with guidance for the second quarter. As Bill mentioned earlier, total revenue in the first quarter was $61.6 million. This result is roughly in line with the same quarter last year and represents a decrease from the fourth quarter last year of 4%. The sequential decrease is driven by shrinking top line performance from our E-Commerce segment as we focused on driving higher margin revenue. And this was partially offset by revenue growth from our core segment. Adjusted EBITDA in the quarter was $7.2 million, up by $900,000 or 14% versus the same quarter last year, and up by $1.2 million or 20% versus the fourth quarter of 2010. Our core segment grew in income from the first quarter of 2010 by $2.8 million. And this was partially offset by a loss in our E-Commerce segment of $1.9 million. Versus the prior quarter, income in both segments improved, with our core segment increasing by $800,000 and our E-Commerce segment improving by $400,000. Net income in the first quarter was $2.1 million, or $0.06 per diluted share. This result is up by $600,000 versus the same period last year or by $0.02 per share. Compared to the prior quarter, net income was down by $9.5 million or by $0.25 per share. When comparing to the prior quarter, it's important to note that we received a benefit from a legal settlement in the fourth quarter of 2010, equal to $19 million. Also it's important to note that our net income of $2.1 million in the first quarter this year includes an income tax expense of $1.1 million, of which $1 million is noncash in nature and primarily relates to a reduction in cash taxes payable attributable to the utilization of our NOL. Excluding this noncash income tax expense, our non-GAAP net income is equal to $3.2 million or $0.09 per diluted share. We ended the quarter with $249.8 million in cash and short-term investments, equal to $6.84 per share and we continue to hold no debt. The fully diluted share count in the quarter was 37.1 million and we ended the quarter with 36.5 million in shares outstanding. Now turning to the details of our 2 segments. In the first quarter, our core segment generated $51.6 million in revenue, representing a 16% decrease versus the first quarter of 2010, and an increase of 4% versus the prior quarter. Our owned-and-operated properties represented 27% of segment revenue in the first quarter, which compares to 22% in the first quarter of 2010 and to 33% of segment revenue in the fourth quarter of 2010. Revenue from these properties grew by $800,000 or 6% versus the first quarter of last year, and declined by $2.3 million or 14% from the fourth quarter of 2010. Compared to the same period last year, owned-and-operated benefited from the addition of Make The Web Better, which generated $2.7 million in the first quarter this year versus 0 in the prior year. This benefit was offset by declines in our nonsearch product initiative as we shut down our auction website, Haggle. Revenue from our other owned-and-operated search properties was relatively flat period-over-period. Compared to the prior quarter, the owned-and-operated revenue was impacted by a decline of $1 million from Make The Web Better, as well as reductions from our other properties, equal to $1.2 million. This trend was primarily driven by a drop in our direct marketing initiatives, and to a lesser extent, declines in usage in our organic search sites. Now looking at performance of our Distribution business. We saw a decrease in revenue versus the first quarter of 2010 equal to $11 million or 23%, and a sequential increase from the fourth quarter of 2010 equal to $4.2 million or 13%. When comparing our performance versus prior year, it's important to note that Make The Web Better was considered a distribution partner in the first quarter of 2010 and generated $9.4 million in that period. The loss of this partner's revenues in our Distribution business accounts for the lion share of the decline versus prior year. Sequential growth from the fourth quarter is primarily driven by higher revenue from our long-standing legacy partners. Since the start of the second quarter of 2010, we've seen revenue from this portion of our business stabilize. And our results this period represents the second sequential quarterly growth of this business. Overall gross margin from our core segment in the first quarter equaled $22.5 million or 43% of core revenue. This represents an increase of $1.8 million versus the first quarter last year, and a decline of $1.2 million when compared to the fourth quarter. The decline versus the prior quarter is driven by lower revenue from our owned-and-operated properties and is partially offset by the growth in our Distribution business. Income from our core segment, equaled $9 million or 18% of core revenue. This represent an income of $2.8 million from the first quarter last year and $800,000 from the fourth quarter. Now turning to the performance of our E-Commerce segment. In the first quarter, we generated $10 million in revenue, down by $4.3 million or 30% from the fourth quarter of 2010. As I mentioned earlier, the reduction in revenue resulted from our shifting focus away from lower margin categories. As a result of this activity, our gross profit margin expanded from 10.5% to 12.2% of revenue. At the same time, we reduced our operating expenses by $700,000. Segment loss was $1.9 million in the quarter, compared to $2.3 million in the prior quarter and equal to a sequential improvement of $400,000. Now for our outlook. In the second quarter of 2011, we expect revenue to be between $59 million and $62 million. Adjusted EBITDA between $6.5 million and $7.5 million, and net income between $1.5 million and $2.5 million or $0.04 to $0.07 per diluted share. For our top line guidance, we expect growth in our core segment, primarily driven by greater revenue in our Distribution business, as well as improving usage and monetization on our core owned-and-operated properties. These positive trends will be partially offset by the attrition associated with Make The Web Better. Within our E-Commerce segment, we continue to focus on shifts towards higher margin products. This activity, coupled with a slow seasonal period, will result in a sequential decline in revenue. Additionally, we expect the loss from the segment to be between $1.5 million and $2 million. With that, I'll turn the call over to the operator to take your questions.
Operator: [Operator Instructions] And the first question will come from the line of James Cakmak, Sidoti & Company.
James Cakmak - Sidoti & Company, LLC: It's really encouraging to see the Search business perform the way it is. Can you talk about, I guess, what you guys are doing? Are you doing anything differently now or are you sending a different message to your distribution partners -- or to attract new distribution partners that drove that '11 new partner result?
David Binder: James, it's David, thanks for the question. The beginning of 2010 was a tough period on the distribution side, where we were really focused more on higher-quality types of traffic that our distribution partners were driving and it created some declines in that period. Since then, we've really been focused on improving our core product, pushing more features out both in our owned-and-operated properties into our distribution network, and really, pushing the messaging behind our great user experience and greater monetization. I mean, you certainly can see it in the performance of our existing partners. They're driving a lot of that sequential growth and in its tailwinds that we have carrying us into the second quarter, so we're pleased with what we've done in our messaging, our product improvement and our sales force. The 11 new partners, I think, is also indication of how well that's resonating in the market. It's a relatively high number of new partners for us. And we do think that, that is driven by a lot of those activities. We don't expect to see significant financial contributions from that class of new partners immediately, but I think a good indication of future potential growth as we look beyond the second quarter.
James Cakmak - Sidoti & Company, LLC: Understood. And did you disclose the split between Distribution and Owned-and-operated revenue?
David Binder: We did. Owned-and-operated was 22% of revenue in the first quarter.
James Cakmak - Sidoti & Company, LLC: Okay. And then, on E-Commerce. You guys are trending towards the sequential declines and the operating losses, but I mean do you think we can achieve the scale necessary given the slight slowdown in revenue to kind of bring that close to breakeven territory at least by year-end?
William Ruckelshaus: Yes, James. This is Bill. How are you doing? I think, we are continuing down the path as we had said in our opening remarks. With the E-Commerce business, I think, the initiatives that we have in place, there are some improvements to the technology platform that we think will help the underlying economics of various of the storefronts. So what we are absolutely looking to do is improve the conversion of a dollar transacted and even before that, a dollar expended on acquiring a customer. The conversion of that down through the contribution per user. And it's a multi-front war, as you might imagine. And the good news is that we are making progress. I think some of that is exhibited in the sequential declines on losses. And as you mentioned, in terms of the sort of relationship between top line growth and bottom line performance, there is a relationship in the model that we have employed, which tends to be more -- have more variable cost, so it's a drop-ship model. Where we're not taking on a lot of those fulfillment costs on our own, that the variable drivers are as relevant to getting the profitability equation, rightsized as are the sort of fixed cost leverage dynamics. So to maybe a lesser extent than you would see in a traditional E-Commerce model that's vertically integrated, it isn't as much a function of top line scale as it is just execution, and automation is going to help us with that.
James Cakmak - Sidoti & Company, LLC: Got it. And lastly, can you just talk a little bit about how you guys -- about the Board composition. You have a new board member now, thinking about bringing a shareholder on board. How are you thinking about that?
William Ruckelshaus: Yes. So we are -- I would say, first and foremost, happy to have Steve Hooper join the board. I think he'll make a great addition. He's got fantastic industry background, technology, Internet, telecommunications, great operating experience. Has been in a number of boardrooms in his past and now -- it's going to contribute very positively to the dynamic in the InfoSpace boardroom. And in addition, in his recent point in his career, he's also an investment professional that's out there seeing a lot of interesting things, so that will only add to what he brings. And then as we had an announced in connection with the announcement of Steve joining, we are also underway with the process to fill the ninth seat, and I hope to do so with a shareholder.
Operator: And the next question will come from the line of Clay Moran, Benchmark Company.
Clayton Moran - The Benchmark Company, LLC: A few things, maybe, we'll just go one-by-one. Make The Web Better, is really doing a lot better than we expected. I think originally, we thought by this quarter, the second quarter of 2011, it would have almost no revenues generated. So what's the expectations now, how long is this thing going to last and contribute revenue in a meaningful way?
David Binder: Clay, it's David. Thanks for the question. When we acquired the assets of Make The Web Better, we expected a 30% decline quarter-over-quarter in revenue, which was really the fundamental trend in that user base, and it has performed much better than we expected. Every quarter, we look at ways at optimizing the user experience, getting a greater yield in revenue per search and trying to push features and functionality that help the retention rate. And it has surprised us at how effectively we've been able to slow the attrition rate. In the second quarter, we're expecting revenue to be around $1.5 million to $2 million versus the $2.7 million they did in the first quarter, which is a little bit better than we would have told you probably last quarter. Beyond that, we still expect the fundamental attrition rate to go back to that 30%. And by the end of the year, probably won't be a very significant portion of our owned-and-operated. So one thing I want to highlight is, if you create this optics of an overall decline in our business, which we really try to isolate so you can see fundamental good performance. And that the level of revenue it's generating now is really a favorable cash flow event for us, which we're very pleased with the ROI we got on this acquisition.
Clayton Moran - The Benchmark Company, LLC: Okay, well, I guess we have to thank Will Lansing for that one. Second question, and this gets to Bill becoming the permanent CEO, congratulations on that. You becoming permanent CEO, does that sort of rule out the possibility of doing an acquisition that would bring a new management team with it? We had talked about sort of InfoSpace as a holding company or maybe some type of acquisition, where the management team would then become the management team for InfoSpace as a whole. So does that rule that scenario out now?
William Ruckelshaus: Well, first off all, thank you for your congratulations and I'm happy to be full time now. And to answer your question, I think that we are -- we have at least two opportunities in front of us. One of which is to optimize the businesses that we're currently running and feel good about the initiatives we have in place there and the value we can create through better execution and targeted investment. So that is a job. And then another job is around putting the capital to work and in a smart way and in a disciplined way, and creating value through that activity. And to the extent that those two exercises overlap, i.e., reallocate capital against our current business, it's great, if they don't, we need to be open-minded about that as well. And I'm encouraged by the progress that we've made across the management team with the Board in thinking about and putting resources to work against the capital allocation opportunity. And I am very much of the opinion, and may have mentioned this on a prior call, that we need to think with a lot of imagination about how we do that. And if we're trying to put constraints at any point in time around how we do that other than just being good financial custodians and being disciplined, I think that we're probably shortchanging ourselves. So I don't know if that answers your question directly. But I think you sort of put your finger on a couple of different models and I think with the right set and the right conversation and the right context, could be viable.
Clayton Moran - The Benchmark Company, LLC: All right. Okay. And one other question on capital allocation. I'm sure you've been looking at opportunities. Just wondering if you're leaning more towards or if you prefer one sizable deal or multiple deals?
William Ruckelshaus: Yes, I think those are -- it's great to think about models and preferences as to sequencing and things like that. And then, very quickly, practical circumstances start to dictate what it is you do. So I think to sort of reiterate, open-mindedness. There's going to be some natural filters and even in some cases, constraints that we put on what we do which is we're not going to chase businesses and overpay. We just don't match if this doesn't make any sense. And so there's a financial profile that is I think a pretty obvious one that we'll be targeting. But then, as it relates to the size of the business and the sequencing versus one big transaction or multiple, I think that will very much depend on what it is we're looking at. And the operative question in every one of those cases is going to be, "Do we like the business? And do we like the team? And do we like the addressable market and the model they have in place and the cultural alignment?" And all of those things I think stand to reason, but those are really going to be front and center as opposed to forcing some model on what ultimately becomes a very practical decision.
Clayton Moran - The Benchmark Company, LLC: Okay. And one more. Can you give us an update on DailyDealFetcher?
David Binder: It's really early stage with that product. We've gotten very good user feedback. We think that the product itself is -- adds a lot of value. We haven't really put much muscle behind the marketing. We're looking to find what would be the most logical and cost effective way to do that, and we're being very cautious about any kind of channel conflict with our partners. So I would say, today that it's not a material financial contributor, but we're still looking at ways that we could leverage it to become one.
Operator: And the next question will come from the line of Eric Martinuzzi, Craig-Hallum.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: The 11 new partners, I'd like to go a little layer deeper on that. I assume that was a total add as opposed to a net add. Was 11 the net add?
William Ruckelshaus: That's correct. 11 new signed partners. So not necessarily launched.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: Okay. And there was any lost partners or just partners that are no longer relevant, just to offset that?
David Binder: Yes, there certainly were partners whose revenues have dropped below what I would call a material amount within the quarter. We haven't had any terminations, but partners that I would say aren't driving significant revenue in the quarter.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: Okay. And then that mix of -- the 11 new partners, I know you guys have partners across everything from application vendors to Internet service providers, to -- there's a wide variety of partners. I was just curious to know if how those -- what buckets those partners fit into?
David Binder: Sure. And I think this is true of most periods when we sign partners. We're going to index a lot higher on the new accounts, in the publishers, application providers and really marketing-driven type sites. The way our business model works, as I know you know, is we have a lot of leverage to sign very small businesses. Businesses that if they could get a deal directly with one of our search providers, may not get a very interesting looking deal. And we've built our tool sets to very efficiently provide services to businesses that are generating very little to no revenue. And then they're going to put a lot of marketing muscle and application development behind driving users to their site. And I think that, that's not all of the partners that we sign up but it's going to be the lion share of our new partners we add on a quarterly basis.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: Okay. And then revenue concentrations for the quarter, in particular Google, Yahoo!, Bing?
David Binder: Not a material difference versus the concentrations in the past quarters. We don't break out the specifics of what each search provider represents, but in total, it's over 80% of our revenue. And there hasn't really been a material shift in this quarter versus prior.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: Okay, thanks. And then lastly, on the M&A environment, there does seem to be both in detail, and anecdotally, there's a higher level of activity going on in your space. I'm wondering if there is -- if you're seeing the pricing environment worsen for the types of hurdles that you have?
William Ruckelshaus: Well, absolutely. That's not lost on us. I mean, it is -- the market is heating up and has been for several quarters now. And there are areas where we've come across businesses that we really like, where we just can't afford or match evaluations that are expected by the selling parties, and that's okay. We just have to keep disciplined in this environment. I think, on the one hand, we do have a cost of capital advantage that we can bring to bear, but that doesn't mean we stop being disciplined. So I think that is true, but we also see a number of things that we think are -- that are attractive, and that were -- that at least for the moment anyway, where we're not being priced out. So it's a little bit of a balance perspective.
Eric Martinuzzi - Craig-Hallum Capital Group LLC: And I know -- pretty much anything you're -- that would be appealing or at least from my perspective, you're going to -- I would have you interested in larger profitable entities with good growth trajectories. Those are going to be valued at obviously, a bigger multiple than you are, you InfoSpace are currently. What is the hurdle that you guys are thinking off?
William Ruckelshaus: Well, it's hard to be, I mean -- and I don't know whether we've had this conversation before. I think the hurdle is really going to be, and traditionally, in any way you'd look at an acquisition, are we going to get -- are we going to be creating value in acquiring this business. And there's a lot of assumptions that go into that. First and foremost, what you pay for the business, but also what your plans are, to what degree you can leverage, what you're currently doing with the addition of new people or new technology, so there's a lot that goes into that thought process. And so in one circumstance, we may find that we're perfectly willing to pay up to a certain level. And then another, because it doesn't have certain attributes, we're just not. And so it's very circumstantial. And I would say that the frothiness of the market, while on the one hand you'd say, the attractive opportunities that would make sense for InfoSpace would appear to be shrinking in number, we're still seeing a number of things that we think are viable and could be interesting for us. So I think your comments are well taken and it's not lost on us.
Operator: And the last question that you have at this time is Rich Tullo. [Operator Instructions] Rich Tullo from Albert Fried & Company.
Richard Tullo - Albert Fried & Company, LLC: What is the future for Mercantila? Is it still an asset that InfoSpace plans to build upon? Is it going to die a silent death here? Or do you plan on selling it?
William Ruckelshaus: So the plan of record and this is no different from what we've now said, I think a couple of quarters running, is that we like the business. It's not where we would like it to be from a profitability standpoint. We think that equation, as it relates to their model, in part has to do with scale, but also in part has to do with automation, bringing technology to bear that some manual processes, just getting better site-level visibility on the purchase funnel and what's going on, and matching that up against the customer acquisition effort. All of that is benefiting, we believe, in the first half of this year from investment. And so part of the results you're seeing in the past couple of quarters reflect that investment in terms of the dollars spent in helping us get better instrumentation. It is our expectation that in Q2, and really onward into Q3, we'll start to see the payoff from those investments. And as you might imagine as is the case with any business that we're going to own. We're going to measure. And we're going to assess the performance. And if it's not meeting our expectations, we're going to reevaluate. And so I think it'd be too early at this point for me to sort of make any predictions other than to say we're still optimistic that these investments will pay off.
Richard Tullo - Albert Fried & Company, LLC: Fair enough. Does the state income tax situation at Amazon influence this business to the same degrees or will influence Amazon? And or -- did you see any higher degree of competition from liquidations at Wal-Mart during the quarter given that there was some anecdotal evidence that Wal-Mart was liquidating some online merchandise?
David Binder: Those are very great questions. This is David, Rich. On the second front, Wal-Mart is a competitor. We do feel like we go up against them on a number of products. And we have seen, as we do in some quarters, other than just the most recent ones that, that they'll put some pricing pressure on our categories. And we really rely on the breadth of what we offer and intelligent pricing to counter that. But they are a competitor and they're someone that we deal with. On the sales tax expense, I think, we're a lot like the other online retailers where appropriate, we'd like to have the advantage of a lack of Nexus in a market. We're very cautious about what that means and we're very diligent in assuring that if we have Nexus, we're appropriately collecting and paying taxes. So we're no different than any other online retailer in that area, where it's a benefit, but we're diligent and cautious about it.
Richard Tullo - Albert Fried & Company, LLC: Okay. And just on a follow-up on Make The Web Better, margins were a little bit better than I expected given the level of revenue. Would you say that, that's because Make The Web Better is declining at a slower rate or is that operational improvements throughout the rest of the business?
David Binder: You know Make The Web Better has something to do with it but we also had a good sequential reduction in operating expenses and a continued focus on efficiency in our core expenses. So Make The Web Better was a piece of it but it is an overall cost management and focused on spending that has good ROI metrics.